Operator: Good afternoon, ladies and gentlemen. Thank you for standing by, and welcome to PTC 2015 Fourth Quarter Conference Call. During today’s presentation, all parties will be in listen-only mode. Following the presentation, the conference will be open for questions. I would now like to turn the call over to Tim Fox, PTC’s Vice President of Investor Relations. Please go ahead.
Tim Fox: Good afternoon. Thank you. Welcome to PTC’s 2015 fourth quarter conference call. On the call today are Jim Heppelmann, Chief Executive Officer; Andrew Miller, Chief Financial Officer; and Barry Cohen, EVP of Strategy. Today’s conference call is being broadcast live through an audio webcast, and a replay of the call will be available later today at www.ptc.com. During this call, PTC will make forward-looking statements including guidance as to future operating results. Because such statements deal with future events, actual results may differ materially from those projected in the forward-looking statements. Information concerning factors that could cause actual results to differ materially from those in the forward-looking statements can be found in PTC’s Annual Report on Form 10-K, Form 10-Q, and other filings with the U.S. Securities and Exchange Commission, as well as in today’s press release. The forward-looking statements, including guidance, provided during this call are valid only as of today’s date, October 28, 2015, and PTC assumes no obligation to update these forward-looking statements. During the call, PTC will discuss non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with generally accepted accounting principles. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures can be found in today’s press release made available on our website. With that, I would like to turn the call over to PTC’s CEO, Jim Heppelmann.
James Heppelmann: Thanks, Tim. Good afternoon, everyone, and thank you for joining us for a review of our fourth quarter fiscal 2015 results. There’s a lot to talk about as we wrap up fiscal 2015 and transition into fiscal 2016, including some significant strategic and operational initiatives that we’re driving. To be frank, it will be hard to squeeze it all into this one call. So I’d like to remind you that our Investor Day is scheduled for November 10th in New York. We’ll touch on a few new topics today and then plan to go much deeper into those topics at the event in two weeks. Let me begin with a brief review of the fourth quarter. We were pleased to see fiscal 2015 end on a solid note. Q4 revenue of $313 million was above the midpoint of our guidance even with a significantly higher mix of subscription bookings than we guided, and our EPS of $0.67 was above the high-end of our guidance range. Despite challenging macro economic conditions in constant currency, our license in subscription bookings grew 3% over the prior year. Our movement to subscription showed accelerated progress with 20% subscription mix in Q4 compared to just 4% in the fourth quarter of the prior year. Due to this significantly higher mix of subscription bookings, our recognized software revenue in constant currency declined 4%. I’ll remind you though that this effect is par for the course with a subscription transition and a stronger subscription mix should be viewed as a good thing despite the pressure it puts on reported revenue and EPS in the near-term. From a segment perspective, fourth quarter and full-year results were somewhat mixed. IoT momentum continued with this segment performing well ahead of the expectations we had set, driven by strong growth in our new ThingWorx customer logos, follow-on business with existing customers, and our first significant deal for our new Coldlight predictive analytics or machine learning technology. We far outpaced the target of 200 new IoT logos for the year with 108 in Q4 alone, and our full-year total of 290. That means that in one single year, we more than doubled the customer base built by both acquired companies during their ramp-up phase prior to PTC’s acquisition. Many of these new customers are blue-chip names who are applying our IoT platform to many different use cases within their operations, and of course, across the range of verticals within discrete manufacturing and the broader market. There is no doubt at this point that our technology, thought leadership, and business momentum is being recognized by a marketplace that’s starting to see PTC emerge as a true leader. As a case in point, if you read reports recently published by McKenzie and others, you know that manufacturing automation is projected to be amongst the most compelling value creation opportunities for IoT. During Q4, we made significant progress on this front with General Electric announcing that the brilliant manufacturing component of their industrial Internet strategy will leverage the capabilities of ThingWorx to enable customers – GE customers to run their factories more productively. This GE branded solution, which is powered by ThingWorx will be implemented within GE’s 400 or so internal manufacturing plants as well. The GE contract represents a significant financial commitment to PTC over the coming years, and obviously provide a strong endorsement for ThingWorx in the marketplace. I want to point out that if you have the interest to learn more about how IoT is driving companies to rethink and transform their engineering, manufacturing, sales and marketing and service operations, I’d like to direct you to a newly published second article that I co-authored with Professor Michael Porter of Harvard Business School. This article, which is titled How Smart Connected Products are Changing Companies was just recently published in the October 2015 issue of Harvard Business Review. It’s probably not on a news stands at this point, but you can find and download the official PDF reprints at our PTC.com website. Along with the first article it really lays out the case for why companies feel IoT is so strategic to them. Coming back to our core business, SOM was particularly strong with bookings growing 59% in constant currency, capping off total second-half constant currency growth of 33% year-over-year. This improved result stems from our pipeline rebuilding efforts that we were talking about during the latter part of fiscal 2014, and the first-half of fiscal 2015. Extended POM bookings returned to constant currency growth in the quarter, driven by double-digit growth in our ALM segment, which offset a modest decline in traditional POM. CAD results declined 22% in constant currency, due in part to a weaker manufacturing macro environment, especially in Americas, where POM was also weak. As you know, our CAD and POM businesses are bit lumpy and the relatively fewer and smaller big deals in FY 2015 as compared to the prior year is a key factor in the CAD decline. On the bottom line, operating margin and EPS exceeded the high-end of our guidance range, despite a substantially higher mix of subscription. So all in all, we feel that Q4 financial results were solid. If we take a look at the full-year license and subscription bookings declined 5% in constant currency, due primarily to the top manufacturing environment influencing a smaller number inside of big deals. Due to the increase in subscription mix of bookings from 8% in fiscal 2014 to 17% in fiscal 2015, license and subscription revenue declined 3% in constant currency. However, strong support revenue reflecting strong renewals and pricing actions resulted in total software revenue growth of 3% constant currency, which would further increase to 5% if you also adjust for the increase in subscription mix. It’s important to remember that as a rule of thumb on an annual basis, every 1% change in subscription mix just like mathematics will raise or lower our recognized revenue by $3 million, our operating margin by 20 basis points, and EPS by about $0.02. So in total, FX impacted revenue by about $100 million for the year. However, due to strong management of our cost structure, our operating margin ended about 24%, and we delivered EPS of $2 and 23%, which was up 3% year-over-year. But excluding the dual impacts of currency and subscription bookings mix, EPS would have grown more than 40%, which far exceeds the strong performance we posted in terms of EPS growth in each of the prior five years. So looking forward as we move into 2016, our primary focus is threefold. Number one, to focus on driving sustainable growth. Number two, to more aggressively move towards subscription. And number three, to continue with cost controls and margin expansion. First, let me talk about growth. As we demonstrated with our performance in IoT in fiscal 2015, we believe that we’re establishing PTC as a leader in the IoT software platform market, which is one of the highest growth and likely one of the largest software markets over the next decade. As the center of our leadership position, of course, is very strong technology. We have the industry’s most comprehensive and market validated technology platform that enables companies across many different verticals to rapidly implement their IoT strategies at scale. And with our acquisition of Vuforia, which we anticipate will close in the next few weeks, we will extend our technology lead by offering a new class of offerings that continue the trend of merging the digital and physical worlds. Vuforia is the industry’s most advanced and most widely adopted augmented reality technology platform. So particularly, Vuforia has coupled with our IoT and predictive analytics capabilities, interlocks a world of possibilities for creating new ways to design, monitor, interact with, and service products. You may actually have seen a peek of Vuforia in use if you attended or watched online our LiveWorx events that happened in may in Boston or June in Nashville. If you remember, we demonstrated our digital twin technology using a smart mountain bike demonstration. If you can recall, we used an iPad to augment a digital dashboard onto the mountain bike as it was being ridden around the stage. It turns out, we were using Vuforia for that. So we’ll be sharing more details at our upcoming Analyst Day on how we’re coupling these exciting IoT, machine learning, and augmented reality technologies together to create some truly transformational new possibilities for our customers. As a platform offering in its own rights Vuforia brings to PTC another substantial developer community, who can further leverage ThingWorx to extend and expand the value of the work that they’re doing with their augmented reality offerings. So while our new business appears to be hitting in all cylinders, we feel that our traditional core business particularly CAD and POM did not meet the expectations that we had established at the start of the year. We believe, we have market leading products and strong customer references, and these are the key ingredients necessary to grow our business and market rates. In fiscal 2015, we faced macro headwinds, FX headwinds, and business model changes, but after a lot of analysis, we also believe there’s room to improve execution and therefore the growth in our core business. So with that objective in mind we’re implementing plans, which involve changes to both structure and talent. Let me start with the structure point. As we build out our new technologies, our business is becoming more complex, because the new part of the business is different in important ways from the traditional core business. For example, the new IoT analytics in augmented reality business has tremendous potential that best unlock through a large developer and partner ecosystem that’s cultivated through marketing lead approaches. Whereas our traditional business is best optimized by leveraging direct sales executives who position themselves as a trusted guide to a customers business transformation. So given the growth opportunities we see in both the core and the new business, we see that each business requires an appropriate focus to end. I believe that strategy should drive structure, so going into fiscal 2016, we’ve reorganized the company into two main business units. Our core CAD extended POM and the SOM business, we will now call this solutions group, and our new IoT analytics in augmented reality business, we will call the technology platform growth. Each of the two business groups will be led by a newly appointed group President. Rob Gremley, who has been driving the technology business for the last two years has been appointed to be group President of the technology platform group. In the solutions group, where we feel the opportunity to improve execution is more pronounced, we decided to go outside in order to bring proven new executive talent into the company. We’re well into a search for the group President of solutions with several talented candidates on a short list. And I look forward to announcing a new executive joining PTC in the near-term. We’re confident that this change over time will prove our execution. Each of these groups who have separate R&D and go-to-market teams, while our corporate infrastructure, of course, will support both. We’re confident that this new structure will allow us to optimize our focus and our balance on each of these two businesses, while preserving leverage and efficiency wherever appropriate. The takeaway for investors is that we’re making important changes to the structure and talent of PTC with an eye toward providing strong focus leadership, improved execution, and performance oriented accountability that will enable us to leverage our access and capabilities to drive better growth from our business. Next, I want to talk about subscription. We launched subscription fees tool four weeks ago with new pricing, packaging, business rules, and new sales incentive compensations to drive our business aggressively towards subscription. We believe that we’ll transition 70% of our license bookings to subscription by FY 2018. The market studies we performed with McKenzie this past summer support that deal, and we’ve now aligned all of our policies toward achieving that goal. We’ll be sharing more details of our subscription program at our Analyst Day, and in a few minutes Andy will share some highlights and how we see the transition impacting our business model over the coming years. But this move is good for our customers and it’s good for PTC. Our third focus as we enter our fiscal 2016 is cost control and margin expansion. This has been a key tenant of our commitment to driving shareholder value. In fact, in my time of CEO we’ve taken PTC’s operating margins for the low teens to the mid-20s through continued cost discipline and guided by a portfolio management process. Today, we announced our realignment of our workforce as we continue to proactively manage our cost structure and move investment into the highest return opportunities in our business. Our goal is to drive continued margin expansion over the long-term. While our reported results will be negatively impacted as we transition to subscription, we see a path to non-GAAP operating margin in the lower 30s, once the business model normalizes for the transition of FX in 2021. We combined with our commitment to return 40% free cash flow, we believe we’re well positioned to drive substantial value for our shareholders. So in conclusion, Andy and I and the executive team essentially have in our hand three levers; growth, subscription, and profit that each independently could drive significant shareholder value. On the growth front, if we continue to win in the new technology platform business, while improving execution in the core solutions business, we will drive a lot of value. On the subscription front, if we push aggressively towards a goal of 70% subscription by 2018, we will also create a lot of value. And on the margin expansion front, where we’ve already created a lot of value, our restructuring announcement today tells you that we know that our work on margins is not yet finished. So starting today and then with more detail on our Investor Day, you will see that we have a legitimate opportunity and a strong strategy to move the needle significantly on growth, on subscription, and on margins. And as we do, our shareholders stand to reap substantial benefits. With that, I will turn the call over to Andy.
Andrew Miller: Thanks, Jim, and good afternoon, everyone. Please note that I’ll be discussing non-GAAP results unless otherwise specified. Total fourth quarter revenue of $313 million was down $55 million year-over-year as reported. Year-over-year software revenue growth of $8 million was offset by a $31 million impact from FX, a $20 million impact from higher mix of subscription bookings, and a $12 million constant currency decrease in professional services revenue consistent with our strategy to migrate more service engagements to our partners. In addition, recurring software revenue which is 59% of our total revenue was negatively impacted by six fewer days, which is 7% as compared to Q4 of 2015. Software revenue, which consists of license, subscription, and support was above the midpoint of guidance, due to solid results for both L&S and support revenue in the quarter. On a reported basis, software revenue was down 12% year-over-year, due to the impact of currency, a higher mix of subscriptions, and fewer days in the quarter. Excluding currency and mix, software revenue was up 3%. It should be noted that we faced a tough Q4 license comparison a quarter in which our CAD and EPLM license revenue grew in the mid-teens year-over-year in addition to the tough Q4 support comparison due to fewer days. Approximately 59% of Q4 2015 revenue came from recurring business, up from 53% in the year ago period. Clearly, this growth in recurring revenue represents a very positive trend in our business and we’ll drive cash flow in subsequent quarters. Moving to the income statement, gross margin increased by a 170 basis points sequentially and 190 basis points year-over-year. The key driver was the lower mix of professional services revenue in the quarter, which was 15% of revenue in Q4 2015 versus 18% in Q4 2014, reflecting continued success growing our partner ecosystem. Operating expense in the fourth quarter was down $27 million, or 15% from Q4 last year, primarily driven by lower performance-based variable compensation and restructuring actions taken in Q2 2015. The solid software revenue results, favorable services mix, and tight operating expense controls yielded an operating margin of 28% in Q4, above our guidance of 26%. Operating margin was up a 180 basis points from Q4 last year, as reported, up 390 basis points in constant currency, and would have been up 800 basis points of adjusted for constant currency and the higher subscription mix. EPS of $0.67 was above the high-end of guidance and was up 1% year-over-year, but up 20% when adjusting for currency and would have been up 45% if adjusted for constant currency and the higher mix of subscription. Moving to the balance sheet, cash and investments were flat with Q3 at $273 million. We spent approximately $15 million, repurchasing 434,000 shares in Q4. For the full-year, share repurchases exceeded our commitment to return 40% of free cash flow to shareholders. One final comment before I turn to guidance. As Jim mentioned at the beginning of FY 2016, we launched the second phase of our subscription program with the goal of accelerating the company’s transition to a predominantly subscription-based licensing model. With an aggressive move to subscription, we will provide new disclosures in FY 2016 to enable you to better track the progress of our business. These new disclosures are important, because traditional financial metrics like revenue, operating margin in EPS may not reflect the underlying performance of the business during the transition. Simply stated the more success we have in driving subscription adoption, the weaker are reported income statement results will be in the near-term effectively masking the significant underlying value being created. With this in mind moving forward, we intend to disclose license and subscription bookings on a perpetual equivalent basis, subscription annualized contract value or ACV, subscription bookings mix, annualized recurring revenue or ARR, which will include subscription and support. Within our software revenue disclosures, we will separately disclose perpetual, subscription, and support revenue. We also intend to simplify our operating performance disclosures. Beginning next quarter, we will provide revenue results for our two business groups discussed above along with revenue performance by geography. We will also share additional commentary on the performance of the businesses within our solutions group. From a guidance perspective, in addition to the current metrics provided, we intend to guide total L&S bookings, subscription ACV, subscription bookings mix, operating expenses, and the annual free cash flow. Now, turning to guidance, let me share some of the general considerations that are factored in. First, as Jim highlighted, as we enter FY 2016, we are in the midst of a significant reorganization and the workforce restructuring that could be disruptive, especially in the first-half of the year. We have attempted to factor this into our guidance. Second, while our Q4 bookings results were near the high-end of our guidance and while we continue to have momentum in our IoT business, we remain cautious of the macroeconomic environment, especially in the Americas and China. And finally, subscription is still new to much of our sales force, and it tends to be a land and expand transaction model different from the old, big deal enterprise play. So we could see smaller deal sizes. With these caveats in mind, we expect bookings in the range of $320 to $350 million for fiscal 2016. We are assuming 25% of our bookings will be subscription. Based on this assumption, we expect total revenue in the range of $1.2 billion to $1.22 billion for fiscal 2016. Included in our revenue guidance, we expect subscription revenue of $90 million, perpetual license revenue of $240 to $260 million, support revenue of $670 million, resulting in total software revenue of $1.0 billion to $1.02 billion. We expect global services revenue of approximately $200 million, a decrease of $27 million from FY 2015, as we continue to execute our strategy to transition more service engagements to our partner ecosystem. Note that FX compared to FY 2015 reduces our revenue guidance at the midpoint by $30 million. Higher mix of subscription bookings reduces our midpoint revenue guidance by $24 million, and we are guiding a constant currency reduction of $21 million in global services, a total reduction of $75 million on revenue at the midpoint of our guidance as compared to FY 2015. We expect an increase in our services margin by about a 130 basis points to 16%, and remain committed to a 20% services margin by FY 2018. With the restructuring discussed earlier, at the midpoint of guidance, we expect FY 2016 operating expenses to be down approximately $17 million from FY 2015. Our OpEx guidance assumes a significant increase in variable compensation predicated upon the achievement of our performance goals, as well as increases in our IoT spend. Accordingly, we are guiding to an operating margin of approximately 23% in FY 2016. Note, however, that assuming the same subscription mix at FY 2015, which was 17%. Operating margin would have been 25% at the midpoint of our revenue guidance, up about 100 basis points. PTC remains committed to operating margin improvement and rigorous and disciplined management of our cost structure. The restructuring we announced today should give you confidence in that commitment. We are assuming a tax rate of 15% to 20%, resulting in non-GAAP EPS of $1.80 per share to $1.90 per share, based upon approximately 116 million shares outstanding. For the first quarter, we expect bookings linearity at the the lower-end of our historical averages to account for disruption from the reorganization and restructuring. With this in mind, in Q1, we expect bookings in the range of $62 to $70 million with about 18% subscription mix. We expect total revenue in the range of $290 to $295 million for Q1. Included in our revenue guidance, we expect subscription revenue of $20 million, perpetual license revenue of $52 million to $57 million, support revenue of $170 million, resulting in total software revenue of $242 to $247 million. We expect global services revenue of approximately $48 million, a decrease of $17 million from Q1 2015. Note that FX compared to Q1 2015 reduced our midpoint revenue guidance by $20 million, and we’re guiding a constant currency reduction of $13 million in global services. Additionally, one less day in the quarter than last year results in about $2 million less recurring software revenue for a total reduction of $35 million on revenue guidance at the midpoint as compared to Q1 2015. With the restructuring beginning in the middle of Q1, we expect an operating margin of approximately 22%. We are assuming a tax rate of 15% to 20%, resulting in non-GAAP EPS of $0.40 to $0.45 per share, based upon approximately 116 million shares outstanding. Finally, so that you can begin to refresh your model. So let me provide some high-level guidelines regarding our new long range target financial model. I will go into much more detail at our upcoming Investor Day. First, we believe that the initiatives we are driving in our solution group and the strong position we’ve established in our technology platform group together can drive approximately 10% bookings growth by FY 2018. This is predicated on our solutions group growing in line with the market by FY 2018, which we believe is approximately 6%, and our technology platform group growing with the market, which most analysts believe is approximately 40%, although we grew much faster than this in FY 2015. Next, exiting FY 2018, we expect to see continued bookings growth at market rates, which in turn is anticipated to yield approximately 10% total revenue growth by FY 2021 when our subscription transition normalizes. We expect our subscription bookings mix will accelerate throughout FY 2016, averaging 25% for the full-year and continue to grow through FY 2018, when we expect to achieve a steady-state mix of 70% subscription. At this point, about 90% of our software revenue will be recurring. Based on these bookings, revenue, and subscription mix assumptions, we expect our P&L and cash flow metrics to hit a trough in FY 2018, begin to recover in FY 2019, and then normalize in FY 2021, at which point, we expect to achieve non-GAAP operating margins in the low 30% range. One additional item. In our press release today, we provided an update concerning the China matter. Recall that in the third quarter of FY 2015, we recorded a reserve of $14 million associated with discussions with the SEC and DOJ to resolve our previously announced investigation in China. That accrual represents the minimum amount of liability we expect to incur if we are able to reach a settlement in this matter, and does not include any amounts associated with any fines by those agencies. We are involved in discussions with respect to potential fines and the amount of the accrual could increase by the time we file our 10-K, resulting in a change to our reported fourth quarter and fiscal year 2015 GAAP results. There can be no assurance that we will reach a settlement or that the cost of such settlement if reached would not materially exceed the existing accrual. With that, I’ll turn it over to the operator to begin the Q&A.
Operator: Thank you, sir. At this we will begin the question-and-answer session of today’s conference. [Operator Instructions] One moment for the first question. Our first question is from Mr. Steve Koenig of Wedbush Securities. Sir, you may ask your question.
Steve Koenig: Thanks. I think that’s me.
James Heppelmann: Yes. Hi, Steve.
Steve Koenig: Hey, good afternoon. The pace of subscription transition next year, looks realistic given the market you operate in, But maybe some folks might have expected a bit more aggressive upfront. Can you comment on that, what – why not more next year and then what are the factors that will boost it up pretty significantly in the following years?
Andrew Miller: Yes. So we expect to average 25%, but we expect to exit the year at a higher percentage than that. Essentially, there are couple of factors. As we look at Q1, clearly, what we did is October 1, we changed pricing packaging, bundling, and sales cost. So this was all introduced to the market and our sales reps just four weeks ago. So the key one pipeline has a lot of deals that are perpetual based upon the fact that everything was different at that point in time. And there’s probably not a great deal of time in the first quarter to get those deals changed in the subscription or we’re not assuming we’re gong to be able to do that. Although clearly, sales reps since they’re going to be paid more are probably gong to try if they can. At the same thing, as we look at our largest customers and 30% to 50% of our revenue comes from big customers doing big deals. They tend on have already completed their capital budgets and operating budgets at this point in time. So they maybe not be able to necessary take a deal that they were expecting to be perpetual in FY 2016, and turn it to subscription. So we’ve been somewhat cautious in our ability to get those two things flipped in the near-term. Although clearly, we think we’ve got great opportunity in both FY 2017 and FY 2018, and our studies show that. So essentially, we’re just being a bit cautious of how quickly we’re going to be able to kind of change the model that both that our customers frankly operate in at this point in time.
Steve Koenig: That makes sense. And if I may ask one follow-up on the core business, maybe can you give us a little more granularity on two things. One is, where are the cost cuts coming from? And secondly, what kind of issues do you see with the core business or on hypotheses you have on what can be changed by new senior management there?
James Heppelmann: Yes. Maybe we’ll each take a stab at that. Hi, Steve, Jim here.
Steve Koenig: Hey, Jim.
James Heppelmann: The general answer is, we’re moving investments from places of low return to places of higher return, that’s the general answer. I mean, at a high level if you look at what are we doing, we’re looking at our de-investments. We’re looking at marketing programs. We’re looking at – do we have the right structures in our sales organization and so forth. So on the cost side, we’re kind of going through the cost structures and saying, do all these investments make sense? Because over here, there’s some investments that are – investment opportunities, let’s say, that are really interesting. If you go down to the second part of that question, which was what could we fix? I think one of the issues where we could fix is to be better balanced. We have a lot of people who wake up and decide what they want to do everyday, and do they want to participate in new business or the old business or both. And these businesses are very different. And so it’s just, I think, we need to focus more. We need more segmentation. We need people who wake up and say, I’m a CAD person, another people that wake up and say, I’m an IoT person. And I think we got to be carefully not to let too many people wake up and say what do I want to do today, right? So, I think, it’s really what we’re trying to control for with this structural change is they have a group that lives and dies with the core business and a leader who lives and dies with the core business. And today we don’t really have that. So that’s – that – simple answer is that thing we’re trying to aim for.
Andrew Miller: And the one thing that I would add is, when we did our operating plan this year, we did kind of a version of the zero-based budget. What we actually did is, we gave everyone a target, that was about 80% of where they start – of what they had this year. And we said, go, figure out how you do the most crucial important things to drive the business with that 80%. That freed up a huge part of money that we then, project by project kind of function by function invested in the highest return areas. So while there’s some money moving from the solution part of the business to the IoT business, there’s a lot of money moving around within the solution business, as far as where the highest return R&D investments are, frankly, investments in more marketing in certain segments, so there was a pretty strong exercise. And this is my first year going through the planning process here, and I was pretty impressed with how diligent everyone was frankly, and really coming up with what are the right things that should be invested in and the thing that where we should reduce cost. So the portfolio management process was executed probably as good as I’ve seen in my career.
James Heppelmann: I might add, a number of proposed investments didn’t make the cut, that money became operating margin.
Andrew Miller: Yes, yes.
Steve Koenig: Gotcha. Very good. Congrats on the good finish through the year and we’ll talk soon.
Andrew Miller: Great. Thanks, David.
James Heppelmann: Thanks.
Operator: Thank you. Next question is from Mr. Sterling Auty from JPMorgan Chase. Sir, you may ask your question.
Sterling Auty: Thanks. So last question started with why not more aggressive to begin the subscription transition, let me flip through the other end of the spectrum, the 70% coming out, I understand you talked with McKenzie or you did focus group. So curious what the customer feedback and what led to that 70% level, given that we’ve seen other companies like Cadence and Apps and technology that service pretty big companies like ExxonMobil, Samsung, Intel, et cetera, get their mix to north of 90%?
Andrew Miller: Yes. So first what drove kind of 70% why people are interested is, number one is, fundamentally the flexibility they get when they compare the two models at the right price point, as they look at kind of the length and the term of their business case. And so subscription, as long as you price it at a way like our pricing, we dropped the price from 60% of our perpetual license to 45%, which is right in the sweet spot and where you would see most subscription offerings. And that means that you kind of break-even at around four years or so, which is, they get more flexibility at that and they like it. And the other thing we did is through business rules, we took out that flexibility that some might have been able to negotiate in the perpetual contracts. We’re not going to give it away, where the flexibility comes with subscription, it doesn’t come with perpetual. If you really want perpetual, it’s a less flexible offering. Now, in the end, the market continues to move more subscription over time. At this point the stake in the ground is 70%, we’re going to drive as high as we can get. But if someone absolutely wants perpetual and values it, then, at least, at this point in time, we intend to let them have it, of course, they will pay for it, but they value.
Sterling Auty: Got it. And then the comments that you made on the macro in terms of how you put together the fiscal 2016. I want to make sure that I understand, given the uncertainty U.S., I think, you mentioned China, Japan, et cetera, it seem like you factored in some of the macro squishiness. I want to ask it this way, if the economy stay exactly the same as where we see right today, should that mean that you actually outperformed the guidance that you’ve given mean that you factored in a little bit of extra squishiness for – would it be in line?
Andrew Miller: So the one thing I would tell you is that, it’s never, of course, you always want to be able to meet consensus and meet your guidance when you put it in there. So we clearly have an internal plan that is a bit higher than what we would guide, and there’s nothing unusual about that.
James Heppelmann: Yes. And to be frank, Sterling, we don’t have a crystal ball. But what’s happened, for example, if you look at the PMI indices regionally in the last quarter is several of them fell quite dramatically. So we’re kind of locking in, at least, on that deal that they’re, at least, worsen they were a quarter ago, maybe with the exception of Europe, which is actually a little bit better. But when we look at China that the news has gotten markedly more difficult there. The U.S. situation really dropped precipitously in the PMI indices and so forth. So we’re kind of locking in on today’s view and not trying to prognosticate, it will get better or worse, but realizing it just did get a lot worse and we have no reason to plan for it to get better.
Andrew Miller: Right.
Sterling Auty: Got it. Thank you, guys.
Operator: Thank you. Our next question is from Saket Kalia from Barclays. Sir, your line is open.
James Heppelmann: Hey, Saket.
Saket Kalia: Hey, guys, how are you?
James Heppelmann: Good.
Saket Kalia: Thanks for taking my questions here. First for you Andy, just a modeling question. Can you just review for us the mechanics of the metrics for us, specifically you are guiding to bookings and the mix. But can you just remind us how to sort of convert that to ACV, and then what sort of renewal rates are you expecting on the subscription? I just want to make sure we’re all on sort of on the same…
Andrew Miller: Okay. Well, we guided ACV for you, so we gave it to you.
Saket Kalia: Okay.
Andrew Miller: And the way to look at that is, we take the ACV as subscription and we multiply it by 2, and that’s what we say the booking is for subscription. And so, for example, if you look at our guidance, I’ll pick the high-end of the FY 2016 fully-year guidance. We’ve guided license and subscription bookings of 350. The subscription ACV is 45, which would mean that the subscription bookings are 90.
James Heppelmann: 90 of the 350.
Andrew Miller: Of the 350, okay, so that’s where you get the approximate 25%, and the remainder is perpetual.
Saket Kalia: Okay.
Andrew Miller: And so if you look at in our perpetual license revenue you see 260 is 90 less than the 350.
Saket Kalia: That makes sense. And then that 45 million ACV, is there a renewal rate that we should be assuming that, because, of course, we can model that out for four quarters, which is sort of definition of ACV. But what sort of – how does that sort of play out, how does that 45 sort of play out between now and 2021, if that makes sense?
Andrew Miller: Yes. So what I can share with you is one, we have very high maintenance renewal rates. McKenzie’s study show that subscription renewal rates are even higher than maintenance renewal rates. So you’re talking about very, very low churn, and the low to mid single-digit churn is the industry average. Of course, we have limited experience with subscription. But our subscription renewal rates are actually higher than kind of that industry average right now, but there’s limited experience with it.
Saket Kalia: Got it. And then my follow-up for you, Jim. It sounds like you’re doing a lot of the right things in terms of putting in place more favorable pricing and sort of the sales comp to drive that subscription mix. But I guess what are you hearing from some of your existing customers that have sort of been born and bread on perpetual plus maintenance? Do you think that those that currently have maintenance actually shift to take advantage of that flexibility, or is there risk that maybe they consider other competitors in the market?
James Heppelmann: Well. First of all, so again our software is extremely sticky, and switching to other competitors would be a major expensive endeavor. And our software is pretty darn good. So it would be a very expensive investment to move sideways at best. So we’ve talked to many customers about this. They’re actually interested in restructuring their maintenance contracts by and large, maybe not every last one, but there’s a significant percentage of our maintenance or support customer base who is intrigued by the idea of taking a look at how it just works different if I kind of traded it in and re-bought it from you on a subscription model. So we have as part of our subscription Phase 2 a program to incent there to have. So I think that between now, I don’t know, Andy, if you had a specific number on that. But when we think out to 2018, we’re actually assuming that not only did the new sales flip to subscription, but a substantial amount of the maintenance base became a subscription base as well.
Andrew Miller: Yes, we actually went and highlighted in the fourth quarter with a small number of customers, and of course, there wasn’t much time to try to get the transaction done. But we actually, one, we did learn that they really like the flexibility of subscription. And so as a result of that, we actually converted the very end of the quarter three customers, they weren’t huge customers, but we converted three of them to subscription at a higher annual contract value than they were under support, because they like just the flexibility, the ability to add some shelf where they didn’t really want, they wanted a different configuration in some of their clear seats, for example, and now is valuable. So we do have a program going and we have targeted deals this year, where we’re going to try to get them to convert from support to subscription, add a premium, and we’ll talk more about that at our Investor Day, in fact, we’ll probably give you an example of how it looks.
James Heppelmann: Yes, just one point though to have in the back of your mind, which is, this would normally happen coincident with the renewal. So we can’t disclose it to everybody and say let’s do it tomorrow, we’ll do in as the renewals come up and in some cases as multi-year contracts and we all get a shot at down until maybe next year or whatever. So keep that in mind to.
Saket Kalia: Very helpful. Thanks, guys.
Operator: Thank you. Our next question is from Mr. Matt Hedberg from RBC Capital Markets. Sir, your line is open.
James Heppelmann: Hi, Matt.
Matt Hedberg: Hi, there. Thanks for taking my questions. Jim, you mentioned in your prepared remarks, but can you talk a little bit more in detail about the importance of this new GE partnership? Is there rev share in place? Are they retiring IoT pipeline? And how should we think about it impacting 2016 revenue?
James Heppelmann: Yes. So, basically, GE is licensing a technology from us, building it into a GE branded solution. We have then – within our base welcoming them into our customer base and giving our guidance and incentives to do that. And, of course, GE has a customer base distinct and separate from our customer base, so they’re going into their customer base by themselves. But each time they take down a transaction for their brilliant manufacturing solution, they’re going to turn around and cut as royalty check. So it’s an interesting agreement. There are sort of minimums to it. They’re very committed to it. They’re very excited about it. We’re very excited about it. We think that we have a legitimate play together with a strong partner in one of the biggest IoT playgrounds of all. So, we’re pretty darn excited about it.
Matt Hedberg: That’s great to hear. Andy, circling back on some of the earlier questions on how you are influencing these changes – change and behavior of purchasing? Are you applying an increase in maintenance pricing this year to help influence that transition?
Andrew Miller: We did. We raised our maintenance pricing 4%.
Matt Hedberg: And was that globally or was that…
Andrew Miller: Globally.
Matt Hedberg: Okay.
Andrew Miller: Yes, the detail to – just to give everyone a little bit of detail, so we did four primary things. One is, we differentiated the subscription offering to the pricing, so by lowering the price to 45%, we did product differentiation, so we are – we have repackaged and we have more repackaged solutions coming out in January. It’s actually simpler and we did a lot of analysis to figure out what would kind of make something more attractive, only available on the subscription side, not on the perpetual. There are services differentiation, including e-learning into certain packages, and there’s new offerings that are coming out many in PLM, for example, that are only available on subscription. We removed the subscription possibility that people used to negotiate into their perpetual contract, so there’s no remix in perpetual, but you get remix in subscription. In fact, you can get extra remix multiples times a year in our subscription offering if you want. There’s no more extended payment terms in perpetual. By definition, you pay over time. And there’s no extraordinary support discounts in perpetual, and of course, there’s support discounts does not apply to subscription, but there’s no extraordinary support discounts moving forward. Our comp – sales comp, the rep makes more money to sell subscription than perpetual. And I heard an anecdote, it’s only an anecdote, so I don’t want to go too far. The sales, in fact, in one of the geos who is commenting that they are seeing some of their pipeline flip from perpetual to subscription and, somebody else had interesting customers are finding it so attractive so quickly. And you said, well to be honest, this is what we’re selling to them, so we’re not giving them the perpetual option. So I think the fact that so much of our revenue goes through our direct sales force, does give us more control over the transition and some other players who sell primarily through channel. And then we’ve got this program to migrate the support customers to subscription. So those are kind of the four basics of what we’re doing.
James Heppelmann: Let me add one thing that actually you covered, but just to be clear. We also took the IoT perpetual business off the table.
Andrew Miller: Right.
James Heppelmann: The one caveat is our partner like GE could do a perpetual deal, because that’s how they do it. But the PTC sales guys won’t be doing perpetual IoT business, it’s not allowed.
Matt Hedberg: That’s a great color, guys. Thank you very much. Looking forward to the 10th as well.
James Heppelmann: Great. Thank you.
Operator: Thank you. Our next question is from Mr. Ed Maguire from CLSA. Sir, your line is open.
Ed Maguire: Hi, good afternoon. I was interested to get a little bit of color on the logo ads in IoT or how much of those are new customers to PTC. And as you realign the sales force are you going – is there going to be any your cross selling that’s encouraged or are you’re really going to just focus on platforms and technologies.
James Heppelmann: There will be a tremendous amount of cross selling at all the IoT and the strategic platform. So in the quarter I don’t have exactly, but roughly half and half roughly half of the IoT business was new IoT business in companies that we’ve done other business with and half of that was no IoT and business coming from companies who have never done business with, so kind of a nice healthy mix. Within the last year if I think of the 290 logos all end. We actually did really well in the strategic base. So just got only a huge cross-sell opportunity here. So that if you were in the platform part of PTC you would say that those solution guys at PTC are terrific partner I’d like to go get some more partners like that. Right and if we can do that then this business will really go somewhere. But in the meantime we make this crystal clear at Investor Day. Our customers think the fit with IoT and analytics and augmented reality and SOM and CAD, POM and AOM is magnificent and we’ll show you exactly why with a little interactive demonstration we’ll let you guys play with yourself and you’ll be crystal clear I promise on November 10 why I can deal on customer would be very excited about IOT analytics and augmented reality.
Ed Maguire: Great and just a comment on the MAC I mean clearly you’ve seen the weakness in the U.S. market, but as you rollout these model changes at the same time is there a different cyclicality in different macro conditions. Do you anticipate any material differences in uptake of the subscription model across different regions based on the macro?
Andrew Miller: I wish we had a crystal ball good talent there – subscription should, because you take your basically pay over time it’s less of an investment that by definition that should be the type of thing it’s easier for a company to do even with things and more challenging there’s less there has their business cycles go they’re feeling like they’re making less of a commitment then when you do a huge large enterprise big deal. But we’ll have to see how frankly the transition plays out.
Ed Maguire: Great. Thank you very much.
Andrew Miller: Okay.
Operator: Our next question is from Jay Vleeschhouwer from Griffin Securities. Sir your line is open.
James Heppelmann: Hey, Jay.
Jay Vleeschhouwer: Hi, Jim how are you. Hey, Andy. I’d like to ask first a product question now you made a I think a pretty critical comment earlier that you expect your now solutions business to grow at the market rates. And that kind of brings us back to obviously your product roadmap and what you’re delivering in the core products. And you didn’t really talk about that every much tonight. But could you comment on or reconfirm the very detailed and comprehensive product roadmap such you articulated in Nashville. We wrote it up back in the summer and you got a lot on your plate in terms of delivering new versions of Windchill exiting such in December three or four and so on and so forth. So just to be clear with everything that you know talking about tonight. Are you reconfirming the product release roadmaps what you talked about and then the timing and so forth that you’ve committed to?
James Heppelmann: Yes, so Jay, as you know I used to be the Chief Technology Officer, but that was five years ago. So I’m a little less in the details of the roadmap. So I can tell you that by and large not aware of any substantial changes to what was talked about at the event at Nashville the Windchill 11 release continues as plan with the road based apps the connective POM the POM, AOM integration the bond management those types of things and our three or four design or releases schedule for mid-2016 model based design, digital twin, that’s pretty much as I recall what we talked about and the event in Nashville so I think I don’t want to reconfirm and a detail obviously I’m not at the detail level at this point, but I can reconfirm at a general level that we’re proceeding with the plans as we had outlined that.
Jay Vleeschhouwer: Okay. And second, I’d like to ask about the conversion of the base, which cost about a little bit earlier. But when we look at, for example, the Creo base and you had a very large number of customers with the pretty low seat count when you think I think your average is similar to some of your competitors roughly not quite 10 or less than 10 seats on average for customer in CAD anyway probably more in POM. The question there is, if you could address how you’re going to involve the channel in converting the base? I can’t imagine it’s terribly cost effective for you to use your direct sales force to divert the customers with one or two or three seats?
Andrew Miller: Yes, so the same programs that were offering on the direct side we will then channelize them to make them simple. So that the channel could handle them and basically offer the same type of program, because so much of our businesses does go direct our subscription program was first focused on getting the direct right. And then focused on the new channel bookings and then we’ll focus secondly on kind of the ability to move those who want support. We also did made changes by the way to our support to basically mirror what you see in the industry that will also prompt people to go to subscription. So things like if you fall off support what it takes to get back on. You have to basically buyback all your prior support. But one full year going forward to get on support. So same with SolidWorks or out of desk we’re limited how long people can come back on support for they have to buy new seat with the idea that then we can give them an incentive to move to subscription. So all of the programs you’ve seen our competitors we basically October 1, have those same programs in place.
Jay Vleeschhouwer: All right. Last if I may you commented on GE earlier, you also have the couple of other pretty interesting sounding partnerships one with sales force you have to go to ServiceMax, and if you can comment on those progress in terms of business development resource as you’re throwing at those and so forth. Thanks.
James Heppelmann: Yes, the ServiceMax partnership is much further long and probably a tighter fit, because they’re really in the SOM business and they’ll call it SLM they’re in the business that we call SOM they’ll call it field service automation. So there’s a great fit there. We have now shift the integrated product that combines what PTC recall SLM where PTC recall IoT with what ServiceMax will call field service management. There are some customers who have already purchased. There’s a nice pipeline of customers who are pretty excited about it. In fact I was in a customer meeting here at PTC with one of the executives of ServiceMax to-date, so we’re working closely together that’s going well. And on both sides we’re pretty excited, because again as I have said service operational efficiency is really the killer app priority and we know that and ServiceMax knows that. It turns out that this augmented reality stuff is also pretty darn important in service so that’s exciting to both parties. With respect to sales force that’s our newer partnership it’s a more of a general partnership sales force is doing less substantive things in IoT right now to-date the time what they want to do and they want to collaborate with people like PTC not so exclusive looking to see maybe as ServiceMax I mean I don’t think ServiceMax is contractually exclusive with us, but by God they’re working pretty close with us. So I think that the relationship with sales force over time to be bigger, because sales force is so much bigger. But I think a lot of times in working with ServiceMax we’ll end up at the customers who use sales force who would be interested now to anyone. So there as Bob, and everybody on call knows ServiceMax has build on sales force and it’s the best sale and service solution. So just a couple of different ways into that ecosystem and we’re far ahead, because we’re six months into the ServiceMax relationship and maybe one month into the sales force relationship, but yes as I said hey Jay, I also want to back up. One thing we didn’t talk about, but I think it’s worth sharing with you it’s been external channel I had a pretty good year. I’m not sure that was in our prepared remarks it’s one of the reasons quite frankly why I know we need to work on execution, because our product in the mid-market where the channel selling did just fine. We perform as well as or perhaps better in the market in that space so it was really in the direct space with a big deal count and size went down and the IoT number went up and so forth that we really had the bigger issue with CAD and PLM so that’s kind of the issue that we’re moving to correct with structure and talent as I said.
Jay Vleeschhouwer: Thanks, Jim.
Operator: Thank you. Our last question is from as Monica Garg from Pacific Crest. Ma’am you may ask your question.
James Heppelmann: Hey, Monica.
Unidentified Analyst:
T:
Andrew Miller: Are you asking relative to subscription so the channel partners will be – will earn margin off the renewals, which is the big question. If they didn’t earn margin off renewal they wouldn’t sell subscription.
Unidentified Analyst: Yes, and then as far as the mix from the channel are you expecting the channel still relatively the same or are you guys going to be increasing or decreasing it?
Andrew Miller: The subscription mix or a general or the percent of revenue what we share as we actually it was about with almost 20% more capacity in the channel than we started, as we have highlighted the channel partially grew faster than the market for the year. Great way to go after the mid-market we think we’ve got a great product in the mid-market. So we think there’s an opportunity there.
James Heppelmann: Yes, now I would counter that Andy, with it depends a little bit on how we define the channels it’s GE channel.
Andrew Miller: Well, I was right, I was talking CAD. But you are right if you look at TPG…
James Heppelmann: Right so we’re looking at the technology product group that will be a new channel.
Andrew Miller: Yes.
James Heppelmann: And quite frankly, we expected we take things from there so I think maybe ask a question, which you try to give me a follow-up answer on…
Andrew Miller: Yesterday.
James Heppelmann: Yesterday, because depending upon if we’re going with yesterday’s definition of the channel or tomorrows definition we’d have a slightly different answer probably.
Andrew Miller: Yes.
Unidentified Analyst: Okay, that works. Thank you.
James Heppelmann: Okay, great. Well, thanks a lot I got in the last question. So I want to thank you all for going through this quite full-some disclosure here on the business and now the changing metrics and so forth. But we are at a point here with the management team is pretty excited we really do think we have strategy that’s going to drive growth. There’s some things we need to do, but we can see it I know from working with Andy that he’s going to drive this subscription thing right through the company I have been watching them do that day by day and it’s like a train coming through town. Nobody is going to stop it. And then on this operating margin things I think we have a terrific track record there. And we just took the next step when we announced this restructuring today, which it’s a difficult thing to do inside the company, but generally viewed pretty positively by our shareholders and seen it. Hey, these guys didn’t give up on that, they’re not distracted by IoT or subscription they’re going to forge ahead as well with that. So I really do think this company is going to create a lot of value and I thank you all for taking the time to hear our story and for sticking with us. And we look forward to seeing many of you on November count on our Investor Day as well. All right with that thanks a lot and have good evening. Bye, bye.
Operator: That conclude today’s conference. Thank you all for participating. You may now disconnect.